Operator: Thank you for standing by. This is the conference operator. Welcome to the TC Energy Third Quarter 2025 Results Conference Call. [Operator Instructions] The conference is being recorded. I would now like to turn the conference over to Gavin Wylie, Vice President, Investor Relations. Please go ahead.
Gavin Wylie: Thanks very much, and good morning. I'd like to welcome you to TC Energy's Third Quarter 2025 Conference Call. Joining me are Francois Poirier, President and Chief Executive Officer; Sean O'Donnell, Executive Vice President and Chief Financial Officer; Tina Faraca, Executive Vice President and Chief Operating Officer, Natural Gas Pipelines; and Greg Grant, Executive Vice President and President, Power and Energy Solutions. Our agenda for today will start with Francois and our strategic update. Tina and Greg will walk you through our business in more detail, and we'll wrap up with Sean's quarterly update and financial outlook before moving to Q&A. A copy of the slide presentation is also available on our website under the Investors section. Following opening remarks, we'll take questions from the investment community. Please limit yourself to two questions. And if you're a member of the media, please contact our media team. Today's remarks will include forward-looking statements that are subject to important risks and uncertainties. For more information, please see the reports filed by TC Energy with Canadian securities regulators and with the U.S. Securities and Exchange Commission. Finally, we'll refer to certain non-GAAP measures that may not be comparable to similar measures presented by other companies. A reconciliation of these measures is contained in the appendix of the presentation. With that, I'll turn the call to Francois.
Francois Poirier: Thanks, Gavin, and good morning, everyone. I want to begin by expressing my sincere appreciation for our team's unwavering commitment to safety and operational excellence. These are the cornerstones of how we operate and the reason we continue to deliver strong results quarter after quarter. I'm proud to report that our safety incident rates continue to trend at 5-year lows. And through the first 9 months of the year, comparable EBITDA has increased 8% year-over-year. We've successfully placed $8 billion of assets into service on schedule, and we're tracking approximately 15% under budget for those projects with 2025 in-service dates. Today, I'm also pleased to announce an additional $700 million in new growth projects at a weighted average build multiple of 5.9x. This takes our total sanctioned projects up to $5.1 billion over the last 12 months, largely capitalizing on the extensive demand we're seeing for power generation and data centers. Driven by exceptional project execution and capital optimization, we now expect 2025 net capital expenditures to be at the low end of our $5.5 billion to $6 billion range. When you combine that with our expected growth in comparable EBITDA, we have clear line of sight to achieving our long-term target of 4.75x debt-to-EBITDA, ensuring continued financial flexibility for future growth. These strong results continue to demonstrate that our focused strategy is delivering solid growth, low risk and repeatable performance. Across North America, the policy environment is becoming increasingly supportive, enabling more timely and cost-effective delivery of our projects to further ensure our infrastructure projects can meet the unprecedented growth in demand. In Canada, recent developments are improving the regulatory environment for projects of national interest. This includes LNG Canada Phase 2, which is directly enabled by our Coastal GasLink pipeline. In the U.S., recent actions to clarify NEPA's scope, accelerate agency review processes and implement FERC and Department of Energy permitting reforms are all supportive of streamlining the process and reducing delays, driving further demand for natural gas as a reliable, dispatchable power source. To be clear, this can be achieved without compromising core principles of safety, reliability and environmental protection. And in Mexico, the economy is poised for significant expansion, driven by strong fundamentals and President Scheinbaum's plan Mexico 2030, which aims to attract over $270 billion in investment through public-private partnerships. By 2030, the Mexican government plans to bring 8 gigawatts of new installed natural gas capacity online, and our assets are strategically positioned to support this necessary build-out. So when you look across all three countries, policy tailwinds are enabling growth initiatives that reinforce the value of our incumbent network. Over the past 12 months, our natural gas forecast has been revised 5 Bcf a day higher, now calling for 45 Bcf a day increase in natural gas demand by 2035. This is driven by electrification, LNG exports and the rapid expansion of data centers. Meeting the increase in demand, we've set 14 new natural gas pipeline flow records across our systems in 2025, further reflecting our focus on operational excellence. Looking beyond North American demand and driven largely by global electrification, we are the only operator capable of delivering natural gas to every major LNG export shore line in Canada, the U.S. and Mexico. And today, as a result of that, we move approximately 30% of all feed gas bound for LNG export. Now additionally, TC Energy is the only midstream peer with a significant interest in nuclear power generation. In Ontario, nuclear capacity requirements are expected to nearly triple by 2050, highlighting the long-term potential opportunity for Bruce Power and our power portfolio. As the outlook for natural gas and power demand continues to trend higher, TC Energy's extensive footprint is uniquely positioned to capture this growth. The robust fundamentals we're seeing in energy demand has generated over $5 billion in new high-quality executable projects that we have sanctioned over the last 12 months without moving up the risk curve. We remain focused on predominantly brownfield in-corridor expansions that leverage our existing footprint, minimize execution risk and are underpinned by long-term contracts with utility and investment-grade customers. The three new projects announced today are prime examples of how our strategy is working. Strategically located along our network, these investments are directly responding to accelerating incremental load growth, especially from data centers and power generation demand. Looking ahead, we expect the steady cadence of similarly high-quality project announcements to continue into 2026 with attractive EBITDA build multiples in the 5x to 7x range, further demonstrating our disciplined value-driven approach. This next chart highlights the consistent upward trend in returns from our sanctioned capital program since 2020, all without compromising contract duration or taking on additional market risk. With the addition of the three new projects announced today, our sanctioned portfolio for the year now stands at an implied weighted average unlevered after-tax IRR of approximately 12.5%, a meaningful increase from 8.5% just a few years ago. Looking ahead, we remain committed to our disciplined approach to capital allocation, ensuring that every dollar we invest is focused on maximizing returns and long-term value for our shareholders. So over the next decade, natural gas and electricity are expected to account for about 75% of the increase in final energy consumption, highlighting our role in the energy mix of the future. We believe our portfolio is of one amongst our peers and highly aligned with the fastest-growing segments of the energy market. We are over 85% long-haul natural gas pipelines, almost entirely take-or-pay or cost of service commercial frameworks. We're one of the largest operators of natural gas storage, providing our customers with integrated pipe and storage solutions, which is a key competitive advantage. And we have over 30 years in the power business across multiple fuel types, including our ownership in one of the world's largest operating nuclear facilities, Bruce Power. So these assets, combined with our low-risk business model and the momentum from powerful market and policy tailwinds position us to continue to capture accretive opportunities. After adjusting for company size, we are leading our peers in sanctioned natural gas and power capital opportunities, converting these into our project backlog that is further extending our growth visibility through the end of the decade and beyond. And with that, I'll turn it over to Tina to speak in more detail on this opportunity set.
Tina Faraca: Thanks, Francois. With over 94,000 kilometers of pipelines across North America, TC Energy's network is delivering reliable supply at scale. The competitiveness of our footprint and our extensive customer relationships position us to win our fair share of this growing market. Natural gas demand from power generation continues to accelerate, propelled by widespread electrification, coal-to-gas conversions and the rapid expansion of data centers and AI infrastructure. In Alberta, our systems have seen an 80% increase in gas for power volumes over the past 5 years. And with the queue of data center interconnections tripling over the last year, we are working closely with customers to ensure our assets can meet the market's evolving demands. In the U.S., approximately 40 gigawatts of coal-fired generation is expected to retire over the next decade with the majority of that capacity anticipated to be replaced by natural gas generation. Across the full landscape, the 170 gigawatts of current operational coal capacity equates to over 20 Bcf per day of potential natural gas demand. Additionally, our assets are strategically positioned in key power growth markets like PJM and MISO, where forecast for natural gas power capacity additions through the end of the decade have doubled compared to last year. Nearly 60% of U.S. data center growth is expected within reach of our asset footprint, and we're collaborating across the entire value chain to deliver the natural gas that powers this transformation. And finally, in Mexico, our assets supply 20% of the nation's gas to power plants and will feed 80% of the new public tender natural gas generation projects entering service over the next 5 years. We have a 30-year relationship with the CFE, Mexico's national electricity provider. CFE is the primary driver behind the country's generation capacity expansion initiatives that we support through assets such as Southeast Gateway. Our connectivity to low-cost supply, extensive footprint and market reach is the foundation for cost competitive system expansions. Additionally, our ability to deliver innovative commercial offerings is fundamentally rooted in the long-term customer relationships we've built across our footprint. It is these relationships that allow us to anticipate market opportunities and move quickly, bringing new projects into service and optimize capacity. Our ability to sanction over $5 billion of high-quality executable projects in the last 12 months is a direct result of this collaborative approach. Today's announcements demonstrate our ongoing ability to capitalize on gas for power demand within our footprint. And what we are seeing today and the evolution over the past 18 months gives me confidence that our development queue will continue to grow with high-quality, low-risk and executable projects. We are at the forefront of natural gas pipeline growth. Within our development portfolio, we are originating growth opportunities representing $17 billion of potential value. Our strategy is anchored by 4 growth pillars. First, power generation is the greatest source of North American natural gas demand, and it is accelerating, thanks to electrification, coal conversions and the surging energy needs of data centers. Our footprint along expanding power markets and our long-standing relationships with our utility customers has resulted in a pipeline of origination opportunities that exceeds 7 billion cubic feet per day that have not been sanctioned to date. North American LNG is entering a new era with over 60 million tons per annum of U.S. export capacity reaching FID in 2025. And over the next decade, we expect more than 10 new facilities to come online. Our existing assets enable us to efficiently serve this expanding market through brownfield developments. Local Distribution Companies, or LDCs, account for 20% of our average daily demand, supplying energy to 80 million homes. And during peak periods such as extreme cold, demand can triple. Our sizable natural gas storage portfolio and projects like our Southeast Virginia energy storage project, a template for future reliability initiatives play a critical role in ensuring reliable supply and resilience for our customers. By 2035, we expect that 60% of North American gas production will move through TC Energy connected basins, providing our pipeline long-term abundant low-cost supply. This strategic advantage allows us to respond swiftly to market shifts, supply migration and support the evolving needs of our customers. We are growing our capabilities, harnessing technology and innovation to meet safety, reliability and regulatory standards while unlocking new commercial and operational potential. Every day, our teams process vast amounts of information, quickly draw insights and then make smart decisions that can translate into higher EBITDA contribution while mitigating risk. Our approach to AI adoption is to break it down into focused initiatives to ensure faster execution. We have developed an integrity-focused AI platform that automates document verification and compliance workflows, cutting review times from hours to minutes and reducing risk across our asset base. And recent breakthroughs in the ability to reliably train AI with large volumes of data are allowing us to enhance safety and sustainability. Our pipeline blowdown emissions reduction program uses advanced methods and automation to minimize emissions during maintenance, supporting our environmental commitments and regulatory compliance. Commercially, we are driving smarter decisions across capacity optimization and short-term marketing by using Agentic AI. We are also using advanced algorithms to recommend optimal pipeline configurations and available capacity on our U.S. assets in real time, improving throughput and reliability while maintaining safety and compliance. And we have developed a commercial intelligence platform to simplify access to external and third-party commercial information, overlaying it with our own data and capacity modeling to understand our customer needs and market conditions. This means we can respond to customer needs more quickly, optimize asset utilization and capture incremental revenue opportunities while maintaining transparency and governance. We are identifying opportunities to implement innovation and technology at scale across our organization, and we see a significant potential for our systems to be smarter and drive even stronger performance. For projects being placed into service this year, I'm extremely pleased to report that our teams have delivered, and we are currently trending approximately 15% under budget. Over the past few years, we have developed a series of enhancements that have fundamentally improved our capital allocation and project development rigor, increasing capital efficiency and cost management across our capital programs. We have enhanced our project risk reviews prior to sanctioning, enabling capital allocation decisions to be grounded in robust validated project fundamentals, ensuring that risk funding is precisely targeted, estimates are more accurate and overall capital efficiency is significantly enhanced. We have also strengthened our front-end project development discipline, allowing for deeper rights holder and stakeholder engagement and more thorough project analysis. This has resulted in high-quality estimates and risk assessments, driving more reliable cost projections and enabling us to manage risks with greater confidence and precision. The result, we have delivered 23 out of 25 of our sanctioned projects on or ahead of schedule while tracking 15% under budget for the year, fully aligned with our strategic priorities. Again, an exceptional job by all the respective teams. With that, I'll pass to Greg to update you on our Power and Energy Solutions business.
Greg Grant: Thank you, Tina. As Francois noted, our portfolio is one of a kind, highly aligned with the fastest-growing segment of the energy market. Anchored by our position in nuclear power, our Power and Energy Solutions business is designed to deliver complementary solutions that drive incremental shareholder value. Importantly, this portfolio is built for scalability. We can grow with market demand, adapt to evolving energy needs and capitalize on opportunities that allow us to deliver solid growth, low risk that are repeatable for decades to come. In the near term, our focus is on maximizing the value of our existing assets. At the core of this effort is the on-time, on-budget execution of our Major Component Replacement program, or MCR at Bruce Power. These extend reactor life until at least 2064, while improving the availability of our nuclear fleet. As realized prices continue to rise and availability improves, with the completion of each unit's MCR, this performance is translating into incremental revenue and stronger financial results. By leveraging our expertise across natural gas and power, we're also capturing value through commercial marketing, system optimization while maximizing availability of our cogeneration fleet. Our 118 Bcf of nonregulated natural gas storage in Canada is a prime example of where we have the ability to generate incremental EBITDA in a highly dynamic market. Looking ahead, we're positioned to build on the incumbency of our North American footprint, deep customer relationships core capabilities in natural gas transmission, storage and nuclear power. We have a strong foundation to scale our operations and deliver complementary solutions at the intersection of the molecule and the electron that will unlock incremental value across the energy chain. The proposed Ontario pump storage project is a great example of the optionality we have in our portfolio. The 1,000-megawatt storage project will provide critical fast response reliability to the grid and complements our nuclear position in Ontario. By utilizing long-duration storage, we can store excess electricity during low demand periods and help meet peak needs. This reduces overall the capacity requirements across the province. Looking to the next decade, Bruce Power is uniquely positioned for growth, in a market where electricity demand is expected to grow by 75% through 2050. With a brownfield site, greater than 90% Canadian-based supply chain and strong alignment from all levels of government, Bruce Power is uniquely positioned to support the required baseload expansion in the province. While a decision to advance a new build is still years away, we have initiated a federal impact assessment for the potential 4,800-megawatt Bruce C Project. This early work creates the optionality for long-term expansion backed by Bruce Power's prudent management team and execution capabilities. At the same time, we're building low-carbon capabilities to ensure that we're prepared to respond to market shifts and capitalize on strategic growth opportunities when market signals and customer demand emerges. These strategic investments in technologies and innovation not only create new opportunities, but have application in supporting emissions reduction in our natural gas infrastructure, enhancing the long-term value of our systems. There are many attributes that make Bruce Power exceptional and unique. The Bruce Power team is best-in-class, and we're seeing that in project execution. The team continues to deliver on time, on budget across our replacement program. The MCR program replaces critical reactor components, extending operational life by at least 35 years per unit while simultaneously increasing availability. With a focus on enhancing both refurbishment efficiency and ongoing reliability, Bruce Power has been a pioneer in automation technologies. The team deployed the world's first robotic tooling machine on a reactor face, enabling skilled tradespeople to perform complex maintenance tasks safely, successfully and on schedule, all while minimizing radiation exposure. As shown on the left-hand side, these innovations have transformed Bruce Power's operational performance. Units refurbished under the MCR will see increased availability, like Unit 6, which achieved over 99% availability in 2024 after the completion of its MCR. That's compared to a historical average of 84% before the program began and the financial impact is clear. More megawatt hours made available, combined with increased realized prices that reflect our capital investment, inflation and some other factors will drive stronger financial performance for decades. Through innovation and disciplined execution, Bruce Power continues to be a leader in this space. Today, we're investing approximately $1 billion annually in Bruce Power. This is expected to increase site capacity to over 7 gigawatts by 2033. All of this output is secured under a long-term power purchase agreement with Ontario's ISO through 2064. This provides visibility to predictable cash flows and long-term revenue. As shown on the chart, the financial upside is very compelling. Equity income is expected to double from $750 million today to $1.6 billion by 2035. Over the same period, free cash flow is projected to grow substantially, generating nearly $8 billion in net distributions. This growing free cash flow gives us the flexibility to deploy capital where it creates the most value. Whether that's capturing growth opportunities across the natural gas system, expanding our nuclear footprint, accelerating low-carbon initiatives or capitalizing on opportunities that enhance the complementary service offering across our footprint. We can leverage our scalable, differentiated portfolio to invest in areas aligned with long-term market trends and deliver repeatable performance. I'll pass to Sean now to walk through the numbers.
Sean O'Donnell: Thanks, Greg. Good morning, everybody. I'll start with a few of the operational and financial highlights achieved in the third quarter. Most notably, each pipeline business increased its average daily flows on their way to setting the 14 all-time high delivery records that Francois mentioned. I would highlight our U.S. natural gas business in particular, which saw LNG flows increase 15% this quarter as well as setting a new peak delivery record of 4 Bcf per day. In Mexico, our network is tracking towards 100% availability year-to-date at the same time that Mexico's daily gas imports are averaging 4% higher in 2025 than 2024. Mexico also saw its highest peak import day of record in August for over 8 Bcf a day. We also had our first full quarter of EBITDA contribution from Southeast Gateway, driving our comparable results up 57% in the quarter. In our Power and Energy Solutions business, Bruce Power achieved 94% availability, which includes the planned outages on Units 3 and 4 and is in line with our expected annual availability in the low 90% range for full year 2025. Turning to the top of the EBITDA bridge on the right-hand side. You'll see that we generated $2.7 billion in comparable EBITDA in the quarter, which was a 10% increase year-over-year. The 10% growth reflects a 13% increase in our natural gas pipelines network, partially offset by an 18% reduction in our Power and Energy Solutions segment. Let me walk you through the components of those changes, starting with Canada Gas, where EBITDA increased by $68 million due to higher incentive earnings, higher depreciation, higher income taxes on the NGTL System, partially offset by lower flow-through financial charges. In the U.S., EBITDA increased by $60 million, primarily from our Columbia gas settlement, partially offset by higher O&M costs. We also continue to see incremental earnings from new customers and commercial innovations and monetizing available capacity on existing pipelines and the nine new projects that our teams placed into service this year. Our Mexico business EBITDA increased primarily due to Southeast Gateway, which was partially offset by lower equity earnings from certain payoffs as a result of the strengthening peso. Lastly, in our Power and Energy Solutions business, equity income from Bruce Power was lower quarter-over-quarter as we began the 2-unit MCR outage program earlier this year versus only a single unit being in its planned MCR outage in the third quarter of 2024. That said, execution of the dual MCR program is going very well, slightly ahead of schedule, as Greg mentioned. And our unregulated natural gas storage portfolio's EBITDA is benefiting from the increased volatility in storage spreads in Alberta. Turning to our financial outlook. We are reaffirming our 2025 outlook for comparable EBITDA that we revised higher last quarter. As a reminder, we delivered year-over-year growth of 6% from 2023 to '24, and we remain on track to achieve 7% to 9% growth from 2024 to '25. Looking ahead to 2026, we anticipate delivering another year of strong performance with year-over-year growth of 6% to 8%. This sustained performance underscores the strength and repeatability of our base business. With the inventory of growth projects over the next 3 years that Francois and Tina highlighted, we are positioned to deliver EBITDA growth of 5% to 7% with a 2028 comparable outlook of $12.6 billion to $13.1 billion of EBITDA. On the right-hand side of the page, we're recapping some of the tailwinds that have been mentioned this morning that we're working on. We have several items supporting our 3-year outlook. We have multiple revenue-enhancing rate case outcomes in process and several more pending. We have increasingly supportive regulatory frameworks that could accelerate our project delivery time lines. We have multiple strategies for increasing asset availability, and we're working on technological and commercial innovations that each improve our capital efficiency across operations and project development. Any combination of those drivers will position us to maximize the value of our existing assets and our financial results. Shifting to our investment outlook. We introduced this capital allocation dashboard at last year's Investor Day to demonstrate that TC has uniquely clear visibility on its growth drivers through the end of the decade. Over the past year, we sanctioned an additional $5.1 billion of primarily in-corridor brownfield projects, predominantly in the U.S. natural gas pipeline business unit. The steady momentum of project approvals, particularly in the U.S., demonstrates the attractiveness of our assets to utility, LNG and data center customers, which will position us for steady growth through the end of the decade and beyond. By the end of next year, we expect to FID a series of projects that will fill out our $6 billion net annual investment allocation target through 2030, all with build multiples in the 5 to 7x range. This will be achieved through sanctioning the $6 billion of late-stage opportunities currently pending approval shown in the gray bars on the slide. And allocating the remaining only $3.5 billion of white space from a large portfolio of earlier-stage projects that are currently competing for internal capital. Given the level of advanced activity in gas origination and the overall $17 billion of projects under review, we feel confident in our ability to fill this chart to the annual $6 billion level through the end of the decade. Our disciplined capital allocation framework enables growth by underwriting projects that deliver the highest possible risk-adjusted returns while also ensuring we preserve our financial strength and flexibility and our long-term leverage target of 4.75x. From a sources and uses perspective, our 3-year plan requires approximately $31 billion in aggregate funding. About 80% of that funding is expected to come from operating cash flows, which is an improvement from last year's internal funding ratio of only 77%. The remaining 20% of our funding is expected to come from a combination of bond and hybrid issuances. The $6 billion in external funding is supported by the incremental annual EBITDA growth we expect to generate by 2028, which will create additional balance sheet capacity at or below our 4.75x leverage target. The key takeaway is that our strong operating cash flows and balance sheet capacity result in no equity issuance required to deliver this plan. With that update, I'll pass the call back to Francois.
Francois Poirier: Thanks, Sean. In summary, our strategy is working. As we look ahead, our focus remains squarely on the priorities that have proven successful. First, maximizing the value of our assets through safety and operational excellence while leveraging commercial and technological innovation. Second, prioritizing low-risk, high-return growth, including placing projects in service on time and on budget or better and allocating our remaining net annual investment capacity through 2030 within our targeted build multiples range of 5 to 7x without moving up the risk curve. And third, maintaining that financial strength and agility to support long-term value creation through capital discipline and efficiency. With our asset base and strong momentum, I am confident we can deliver low-risk, repeatable growth into the next decade. Operator, we're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Praneeth Satish with Wells Fargo.
Praneeth Satish: I think if we just zoom out for a second and think about EBITDA growth on a longer time frame than 2028, it would seem to me like the current mid-single-digit CAGR guidance can be sustained for a long time past 2028. The backlog is very large on the gas side, ROIC is increasing. And then when you get out to 2030, there's at least $1 billion to $2 billion per year of CapEx capacity that opens up with Bruce Power. So I know you aren't formally guiding past 2028, but can you maybe walk us through the puts and takes that shape your long-term EBITDA growth trajectory and how long that 5% to 7% CAGR can be maintained?
Sean O'Donnell: Praneeth, it's Sean. I'll take that question. Great question. You highlighted on Francois's Page 9, those IRRs going to kind of 12.5% right now, that is that's critical, right, for us to continue to see those types of return levels to be able to allocate capital in that '29 and '30 period. And I'll tell you a little bit of what's happening. Small to midsized projects were taking down very quickly, but projects are getting bigger and more complex. And that just -- that's where we want to wait to see. Can we continue to push returns and capital allocation up in the '29 to '30 time frame. So if these returns remain true, then I do think you'll see the same kind of midpoint of growth, if not potentially better, but the projects are just taking a little bit longer for us to have that degree of clarity.
Praneeth Satish: Got it. That's helpful. And maybe if I could follow up on that. line of questioning here. So as leverage trends lower over the next few years, it seems like there's a lot of balance sheet capacity that opens up, especially as you get out to 2028. So I know you kind of reiterated the $6 billion per year of CapEx, but is there room to scale towards $7 billion or even $8 billion at some point over the next few years? Or should we kind of assume a more conservative leverage targets over time? Any update on kind of how you're thinking about that longer-term CapEx cadence?
Francois Poirier: Praneeth, it's Francois. I'll take this one. our goal is that 12 months from now, we've essentially filled up the project backlog at the $6 billion level through 2030 inclusively. I think the opportunity set we have will give us the opportunity at that point to consider going above that $6 billion level. A couple of really important criteria, which we are not going to lose sight of, however. First one is human capital. It's the most important consideration. We've made the progress we've made because we've executed our projects with excellence. So wanting to make sure that if and when we consider going above $6 billion, we can continue to execute with the performance that we've demonstrated over the last 2 or 3 years. Second is the 4.75 is going to continue to be a targeted cap for us irrespective of the size of our capital program. So we could make excellent progress on efficiencies, on technological innovation and commercial innovation that could allow us to go above $6 billion without looking to rotate capital or any other sources of funds. I would say though, as I said before, the opportunity set will absolutely allow us to go there. But I would say it's within those two caveats. And then when you look at the lead time for projects, realistically, that's probably 2028 or 2029 before we could go there just with the time it takes to develop projects and then the time it takes to get them permitted.
Operator: And the next question comes from Robert Hope with Scotiabank.
Robert Hope: Maybe to follow up on your commentary that the projects are becoming larger and more complex. Can you maybe add a little bit more color on what size of projects that you are now seeing and why they're more complex? And are you more willing to go for larger projects given the increasingly more favorable regulatory outlook in the U.S.?
Tina Faraca: Thanks, Rob. This is Tina. We are really encouraged by the development pipeline that we have, primarily related to the growth in the power generation sector. Along our entire footprint, we see opportunities in scale of volumes that could be anywhere from just 0.5 Bcf all the way up to more than 1 Bcf, depending on the type a project we're pursuing. The value of our footprint is such that it allows us to capture all of these opportunities, whether they're on a smaller scale or the larger scale. The hyperscalers that we're working with behind the utilities do take more time just because of the supply chain constraints. But certainly, we continue to see those opportunities progress, and we'll pursue those as we see them advance. So the larger ones are taking a little bit more time, but we're able to capture some of the more single, doubles, triples along the way.
Francois Poirier: Yes. And I'll add a little bit to that, Rob. I appreciate the question. When we talk about increased size and complexity, we're not talking about SGP or CGL like multi-jurisdictional multibillion-dollar projects. These are still in-corridor expansions. The average size of our projects in our backlog right now is about $0.5 billion. You might see projects announced over the next year, creep up around that $1 billion level or maybe still a little bit north of that, but they are still in corridor in -- with existing customers and very straightforward from a construction execution standpoint. So we don't view, despite the larger size, any execution complexity increase. Simply, we've had a number of projects this year that we -- 6 months ago, we would have expected to have announced by now, but they're getting pushed out into next year because they're getting upsized. Demand is increasing so quickly that our utility customers are looking to increase the scope of our projects, and we just have to go back to the drawing board a little bit.
Robert Hope: Appreciate that color. And then maybe continuing on the theme of the project backlog. So you have $17 billion of projects in the backlog, $6 billion are in advanced development. How do you expect that kind of overall size to progress over the next year as you're seeing increasing demand for your system? Are you seeing projects -- are you having to turn away projects just given the organizational requirements? Or could we see that backlog expand a little bit further over the next, we'll call it, 12 to 24 months?
Francois Poirier: Yes. We have -- just to be very clear, Rob, thank you for the question because it gives me the opportunity to point out that we have not turned down a single project because of balance sheet or capital. We still have even with our expectation of bringing in all of the pending projects to full sanctioning, we still have $3.5 billion of room under the $6 billion level. And as we talked about, with careful consideration of our human capital, we think we can go beyond that. So we're not capital constrained in that we're turning away projects. We simply want to make sure that we maintain our 4.75 level and that we're continuing to execute projects with excellence. So the great thing, for example, if you look at our guidance for 2028 of $12.5 billion to $13.1 billion, with EBITDA growing the way it is, it's natural that our backlog and annual capital spend can grow along with it. So as I said, the opportunity set is definitely there for us to go there if we choose to. And based on the cadence of projects we expect to be announced regularly through 2026, I think at this time next year, we're going to be thinking long and hard about increasing that $6 billion level, starting in maybe '28 or '29.
Operator: And the next question comes from Theresa Chen with Barclays.
Theresa Chen: On the theme of gas to power for data centers, you've clearly chosen to stay focused on transmission, supporting your customers rather than competing with them in power generation despite your deep expertise in that space. What drove this strategic decision? And what are the key considerations behind it?
Tina Faraca: Thanks, Theresa. This is Tina. I'll focus on the U.S. because that's where we're seeing the majority of our data center growth right now. And the attractiveness and depth of our portfolio of data center projects, primarily accessed through our interconnections with key utility customers provides us with a low-risk, compelling return approach to capturing that data center growth. We're actually not seeing a big pull from customers to develop behind-the-meter projects in the U.S. And in instances where we have seen those requested, there have been limiting factors, including contract term or requirements to procure long lead time items, just inconsistent with our risk preferences. And we have a deep pipeline now of those opportunities with our long-standing relationships with our key utility customers. Additionally, when we're working with those utility customers, we're not just solving the needs for their data center growth. It's all of the other electrification needs that they have, whether it's coal to gas conversion or economic development.
Theresa Chen: Got it. And in regards to Bruce C, can you walk us through the current status on the path to FID, the next key milestones, how you plan to manage cost and execution risk if the project proceeds? And on the heels of Greg's comments related to the technological advancements and use of robotics for the NCR program, it seems that you're incorporating additional efficiencies and innovative solutions in general here. But what are the key lessons from the NCR process that you'll be applying to Bruce C if FID-ed?
Greg Grant: Sure. Thanks, Theresa. Appreciate the question. It's Greg. We do continue to progress Bruce C. We actually just received the notice of commencement from the IAC here in August. As we talked about in the last quarter, there's still a lot of work to do when you think about moving towards FID in the early 2030s. But what the next step for us is we're actually working with the ISO and our next tranche of funding. As a reminder, we're currently using federal funding through Enercan and the next tranche will help provide us the funding as we move towards FID towards the end of the decade. Nice for you to point out the Slide 19. I think there's many innovations that Bruce have been using both operationally and through the MCR program with the robotics that I talked about earlier. You'll see successive efficiencies being taken through all those lessons learned when you think about -- this is almost a decade-long plan. And the reason that we actually put robotics and other things in as we progress through Unit 3 was to be able to continue that over through all the success of MCR programs. So the team have been doing a great job on time and on budget. And what you'll continue to see is that time shrinking in terms of how long it's taken us to do the MCR program and get these units back online.
Operator: And the next question comes from Aaron MacNeil with TD Cowen.
Aaron MacNeil: The negotiated settlement on the Canadian Mainline expires in 2026. You mentioned several rate cases over the next several years. So I guess, just very simply, have toll increases or rate cases been contemplated in the 2028 guide? Or could we think about that as potential upside very much like we saw with Columbia earlier this year?
Tina Faraca: Yes. Thanks for the question, Aaron. We do have several rate cases in flight. As you're familiar, we have the ANR, the Great Lakes rate cases that we have just recently filed and are in settlement discussions. We had a successful settlement on the Columbia Gas system. We have a cadence going forward on other U.S. pipes. Specific to Canada Gas, we have the mainline settlement, which goes through the end of 2026. in our NGTL settlement that ends at the end of 2029. The projections for those rate cases or rate settlements include conservative estimates in our budgeting and forecasting. And each rate case is very different depending on the rate base, the capital investment, but you will see the proposed uplift on those rate cases already embedded into our forecast.
Aaron MacNeil: Okay. Understood. And then I wanted to dig in on the cost savings that you've realized on capital. As we look to the future and just given the broader investment in energy infrastructure across North America, are you starting to run into challenges or bottlenecks with contractors? Or can you speak to any other pressure points that we should be aware of or risks that you're actively mitigating? And ultimately, I guess I'm just wondering if this level of outperformance can be sustained.
Tina Faraca: Yes, thanks. Market pressures haven't really had a material impact yet, but we do see industry backlogs building, and we're continuously monitoring our suppliers and our contractors. Francois earlier highlighted our human capital, and that's one of our also top considerations when we're sanctioning and executing projects. This applies also to our contractors and skilled labor workforces. We've been through these cycles before. We learn when it gets busy. It's increasingly important to retain top-tier suppliers, contractors, crews. And we're able to attract some of those top suppliers and contractors in two ways: one, through our long-term relationships and our contracting strategies that we deploy; and two, our portfolio. Our contractors like this long-term portfolio that we have, whether it's small, medium-sized in quarter projects and all of our maintenance capital, we're able to develop long-term relationships with them for that long-term backlog.
Francois Poirier: Yes. And I'll add to that, Aaron, it's Francois. With respect to outperforming plan going forward. Remember that the risk of our portfolio is decreasing. If you look over the last 2 or 3 years, we had CGL and Southeast Gateway in there. The small- to medium-sized projects are much more straightforward to execute. The predictability of cost estimates is very high because we know the right of way, we know the terrain. The time lines are quite predictable. So we do tend to take a more conservative approach in an inflationary environment to our costs. Projects we're putting into service now were sanctioned in 2022 and 2023. Remember, we were in a much higher inflationary environment back then. But I'm optimistic that we can continue that execution excellence with a recognition that we're in a generational time in terms of allowed rates of return or rates of returns on projects we sanction. And to some extent, we might be a little bit more aggressive in terms of our estimation simply because we want to be able to allocate more capital to growth. Over the last few years, as we've been deleveraging any outperformance on projects, the proceeds have gone to accelerating our deleveraging. Going forward, the balance sheet is in good shape right now. We're more focused on growth. So we're going to want to allocate more capital. There are some great examples that our team, our supply chain team have been working with some of our key suppliers on long-term contracts, things like turbine maintenance, things like delivery of new equipment for new projects with the long backlog that Tina mentioned, we are a preferred customer that our contractors very much like to deal with. That means we get the A teams on our projects. And project execution is always about people and our human capital. And our team is very strong, and we get the strongest teams from our contractors, which leads to the results we've been getting, and we hope to continue those.
Operator: And the next question comes from Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just wanted to turn to Slide 23, if I could revisit that. On the right-hand side, piling up tailwinds and headwinds for the guide here, if I recall correctly, it seems like there's a lot more tailwinds than headwinds at this point. So just wondering, is it fair to think that, that is the balance when you're thinking about the guide period?
Sean O'Donnell: Jeremy, it's Sean. I'll take that question. Candidly, I think you're right. We are feeling more tailwinds than headwinds at the moment, whether that be the jurisdiction regulatory reforms that Francois mentioned, the customer kind of demand pull on our systems, we're being asked to do more than we ever have been. And to Francois's point, we're able to drive kind of project IRRs up, and we're able to drive rate case outcomes higher than we've ever seen before. So it is a bit of an imbalance towards the tailwinds for the first time in a long time. But towards that -- outside of that [ '29 and '30 ], we've been asked a few times about why not 5 years guidance. We just want to maintain a few -- another year to make sure that all of these tailwinds remain durable through the end of the decade. But so far, so good.
Jeremy Tonet: Got it. That's helpful. So the 3-year guide looks really conservative here given that backdrop. So that's helpful to understand. And then just wanted to go to Mexico, I guess, there have been comments in the past with regards to potential for monetization there. I'm just wondering any updated thoughts you might be able to provide there?
Sean O'Donnell: Yes. I'll take that one as well, Jeremy. No updated thoughts, but just let us recap kind of where we've been on that one. Look, Mexico is a phenomenal business for us, right, putting SGP into service this year and kind of demonstrating the commercial viability of that. CFE has a major campaign underway, right, with their $20-some billion kind of power and transmission build-out and given that a couple of quarters to continue to develop. So we're still committed to looking at alternatives in 2026. We'll have USMCA, some clarity there by hopefully, June or July. We'll have progress on the CFE side with connecting a number of different power plants that will be served primarily by SGP and other assets. And we'll look at capital market and partnership opportunities starting in 2026 and hopefully have an update by mid to fall of 2026.
Operator: And the next question comes from Maurice Choy wit RBC.
Maurice Choy: I just want to come back to a comment earlier that Francois, you made about your ability to go above $6 billion without rotating capital. It doesn't sound like you need this program. But from everything you shared today, you're also not short of opportunities. So how do you see the company being more engaged on an active capital rotation program just from a financial discipline perspective, particularly for mature or derisked projects?
Francois Poirier: Thanks for the question, Maurice, and it gives me an opportunity to maybe be a bit clearer based on my prior response. What I wanted to indicate is that the first source of deleveraging is always growing your EBITDA. And before we consider capital rotation or any outside form of equity, we always look to improve the ROIC on our existing assets. So through commercial innovations and increasingly interesting technological innovation, the use of AI more specifically, we see an opportunity to accelerate EBITDA growth through optimization and efficiencies in our system. And I would like to see those carried out and run through before we consider any outside capital or deleveraging. Obviously, we hold share count dearly. Our bias to the extent we need -- to the extent we want to grow our capital program above $6 billion and we decide that we do need some equity the bias will always be the capital rotation first. But first, let's see what we can do with the EBITDA. We've had some really good successes here in improving the efficiency of our systems, getting our OM&A down and getting the ROIC on our existing assets up. And that's what I meant by that comment.
Maurice Choy: That makes sense. And if I could just finish on the question about returns. On a forward-looking basis, you mentioned that you are expecting 5 to 7x build multiple. Compared to the Investor Day last year, has there been certain assets or project types that you're seeing evolving returns? Or have they broadly been quite steady over the past 12 months?
Sean O'Donnell: Maurice, it's Sean. The answer is the latter. We have seen the 5% to 7% guidance from Investor Day last year to this year, we have executed right in the middle of that range. So it is steady. The proof points are there, and they are why we're extending that guidance through '28 at this point.
Francois Poirier: Yes. And just to add to that, as we talked about our priorities for 2026 and our goal of filling out the slate of growth projects at the $6 billion level through 2030, along with that is at a 5 to 7x EBITDA build multiple. As you can imagine, our $17 billion BD pipeline, we have pretty good visibility on the returns of those projects. And so we think that, that outcome is very achievable. And the clear implication there is that we expect the build multiples to hold at the levels that you just referred to.
Maurice Choy: So just a quick follow-up. I think earlier, there was a mention, I believe, by Tina that just we've not seen a whole lot of cost pressures, but perhaps there may be some on the horizon if all the resources are directed towards data centers, for example. What you're saying is that even if costs globally goes up, your returns should hold. Is that fair?
Francois Poirier: Yes. Look, I think we compete with our peer company pipelines for projects, particularly in the U.S. My presumption is that if all competitors are impacted by the same inflationary environment, we're competing on a level playing field, and those costs will be reflected in all of our bids, and we expect to be able to hold our returns to deliver that 5 to 7x EBITDA build multiple.
Operator: And the next question comes from Manav Gupta with UBS.
Manav Gupta: You recently got an upgrade from S&P rate. They finally moved you to stable outlook versus negative. I know you had been working with them. Help us understand what that process was and finally, what pushed them to acknowledge that the outlook is actually stable and not negative.
Sean O'Donnell: Manav, it's Sean. I'll take that one. Look, without speaking to any particular agency, we've simply delivered on the plan that we introduced at Investor Day last year, right? Obviously, getting SGP done on time and on service and living within our $6 billion to $7 billion capital raise. Those were commitments that we made to the market. And to be fair, the agencies held us accountable and wanted to see a couple of quarters of performance under that new strategy. So we've delivered and better. So yes, we're grateful for recognition of that, but it was always kind of part of our plan and expectation to get to this point.
Manav Gupta: A number of question we are getting from investors is when you look at 2026, your guide is 6% to 8% and people feel it's slightly conservative. Help us understand what can get us closer to 8% versus the 6%, if you could talk a little bit about that?
Sean O'Donnell: Yes. Happy to take that one again, Manav, it's Sean. Look, we have a little over $8 billion going into service kind of driving that. So these are new assets. And as it relates to the optionality that we have with all of our assets, right, customer-driven events, weather-driven events, outperformance. It's -- we need a little bit of time with our new assets in particular, but we are seeing new counterparties come across all of our systems with really kind of commercially innovative strategies to express hedging across molecules to electrons. So with these new assets, in particular, we'll be conservative in how much more we can do from a new customer standpoint, but we look forward to having all the new inventory kind of up and running here by the end of the year.
Operator: And the next question comes from Olivia Foster with Goldman Sachs.
Olivia Halferty: I wanted to go back to some of the comments which were made on improving IRRs across the footprint. Could you talk about specific drivers of the improved project returns we are seeing versus earlier this decade? And specifically, are there insights you can share on customer willingness to sign up for rates underpinning these improved project returns? And on the other hand, any balancing factors from project competition in regions where TC operates?
Tina Faraca: Olivia, this is Tina. I'll take that question. There are various factors that are driving our higher returns and our strong build multiples. One is our project execution capabilities. We've really have advanced our skill set, our governance are the way we advance our projects on early development. And so I feel like our project development and execution experience has really driven us a long way in executing on time and under budget at returns that are continuing to increase. Second is the capacity in the market on the pipeline side continues to be more and more utilized. And so as we're working with our customers, the optionality in our systems requires expanding. And as we're working with them, they are highly valuing the new capacity as well as the security of supply. So we are able to negotiate, in some cases, returns that are providing us stronger options there. In addition, just the amount of growth across North America is really providing a big landscape for us to be able to select projects that have the highest return and strong build multiples. That's really the value of our footprint. Our footprint is a strategic advantage for us to find those low-risk, high-return opportunities that we can filter into our $6 billion to $7 billion capital.
Olivia Halferty: Got it. That's clear. And for my second question, I wanted to ask a follow-up on one of Praneeth's questions, specifically on the leverage build and annual CapEx outlay. How much cushion specifically would you like to build under the 4.75 target on a run rate basis before we could see annual CapEx trend towards the higher end of the range? And then maybe this is a clarifying question as well, I'll tag on. But is TC contemplating moving towards the higher end of the $6 billion to $7 billion range or eventually moving above the upper end of the range over time?
Sean O'Donnell: Yes, Olivia, it's Sean. I'll take the first part of that question. Look, as it relates to having a specific target below 4.75, our objective is really capital efficiency. And as Francois mentioned, our per share metrics at 4.75 or below are really how we kind of triangulate balance of total shareholder return. So -- and we are being below $6 billion here for the next kind of couple of years, we are giving the balance sheet time to breathe. We could have gone to $6 billion, but we have chosen not to. We're not chasing projects in favor of giving -- lower return projects in favor of giving the balance sheet time to breathe. That's a critical takeaway. As it relates to going from $6 billion to $7 billion or $7 billion to $8 billion, if the project returns are there, and it works within our -- that 12.5%, that glide path up that we're seeing, if that continues to be true and our teams can deliver on time and on budget, and it works at 4.75 or lower, those are the ingredients for both growth and continued preservation of balance sheet strength.
Operator: And the next question comes from Robert Catellier with CIBC.
Robert Catellier: Rob Catellier from CIBC. First of all, congratulations on your ongoing safety record. I just wanted to follow up a little bit with Tina, just on the project execution we've seen recently. You gave a whole host of reasons on how you got there. But I wondered if you could maybe highlight the one or two top reasons why you -- the projects are coming in on time and on budget recently?
Tina Faraca: Thanks for the question, Rob. I'd love to talk about our project execution teams because they have been delivering time and time again. Our human capital there is really the #1 driver, in my opinion, of why we're executing on time and on budget. We've really advanced our internal leadership execution skills, more due diligence on risk we are engaging our stakeholders much earlier in the process, in the development cycle. We are negotiating strong contractors with our third-party constructors to provide the A teams. All of that allows us to execute on time and on budget and drive that increasing returns on our invested capital.
Francois Poirier: And just to add to that, Rob, I really appreciate the question. We don't talk about culture enough on these types of calls and having a one-team approach to project execution, creating a psychologically safe environment where our teams feel comfortable identifying challenges early on so that we can manage them and manage risk. Is critical to the high-quality execution on projects. So we've worked really hard on creating a strong culture with strong psychological safety, and it's definitely benefited us.
Robert Catellier: Yes. It sounds like you put in a really sustainable framework there that should benefit you for years to come. My second question was for Greg Grant on the power side. On Slide 18, there's a comment in the midterm bucket about exploring complementary services in high-demand power and energy solution markets. I wondered if you could give us a flavor of what you think the highest likelihood opportunities are there, in your opinion, as we stand here today? And whether or not you're contemplating any behind-the-meter power in that bucket.
Greg Grant: Sure. Yes. Thanks, Robert. Happy to talk a bit about that. We've talked about areas where we do have some of the complementary gas and power solutions. Obviously, we have to be quite strategic with our footprint on both the gas and power side. We've talked about we're not just trying to build out the power business on its own. Certainly, Alberta has been the one area that I've talked about in the past, just given we have that energy supply chain footprint, whether it goes from the gas storage all the way to the end of power. So that's a natural area where we would be looking to potentially look to colocation and/or power solution. The one thing I just want to highlight, and I think Tina highlighted it earlier, we have a great pipeline of growth. And so we're going to be very selective. Some of the projects that we have seen are probably taking on a bit more risk than we would like to, especially given the footprint and the pipeline that we have. But certainly, in Alberta, when you see over 20 gigawatt queue on the data center front, whether we're developing it or we see other developers come in and build out some more demand, that's great for our existing footprint on the gas and power side.
Operator: And the next question comes from Sam Burwell with Jefferies.
George Burwell: Given the LNG build-out on the Gulf Coast, it seems like there's at least some opportunity to send more Canadian gas south. So are possible brownfield expansions on your system something that might make sense for you to pursue? And if so, how would those projects rank within your opportunity set?
Tina Faraca: Yes. Thanks for the question, Sam. This is Tina. Yes, LNG opportunities are continuing to evolve. It is a large market, as you know, from a demand perspective. If you think about it across our portfolio, we've placed 8 LNG projects into service over the last few years, primarily related to Gulf Coast projects. Recently, you're familiar, we have built our Coastal GasLink project to the West Coast, and we think there's great opportunity to continue to provide egress out of the WCSB to the West Coast for LNG exports there. As you think about coming down into the U.S., we certainly have a corridor there through our ANR pipeline system and other systems where we have had some expansions in the past to bring gas from Western Canada down to the Gulf Coast, and we'll continue to evaluate those as necessary. There are about 10 more LNG projects proposed along the Gulf Coast that we'll be looking for additional supply. But again, I think the West Coast of Canada and building that out is going to be an incredible opportunity for us to move that gas west.
George Burwell: Okay. Understood. So I guess on that point, I mean, any updates you can share on Coastal GasLink expansion?
Tina Faraca: Sure. We're excited to have Coastal GasLink in service and flowing gas, Train 1 and Train 2 now moving forward. We are working really closely with LNG Canada right now to evaluate the Phase 2, and we're supporting them in the development related to what would be necessary on the pipeline. So the FID does rest with them, but we are working jointly to evaluate what would be necessary to expand Coastal to get to the Phase 2.
Francois Poirier: And recall, Sam, that LNG Canada Phase 2 is part of the projects and the national interest that the federal government has identified. So from a permitting standpoint, I think that process is well underway with the major projects office. And really, the decision now rests with the proponent for the LNG facility.
Operator: And the next question comes from Ben Pham with BMO.
Benjamin Pham: I appreciate the update. A couple of maintenance questions from me on the 5% to 7% EBITDA growth guidance. So there's a couple of questions earlier on this topic. But I'm wondering, could you provide the building blocks on that CAGR, that 5%? Like what amounts growth? What is rate cases? What is the efficiencies? And then what takes you to the 6% and the 7% or beyond?
Sean O'Donnell: Ben, it's Sean. Thanks for the question. Look, we maybe do a better job on that kind of offline, but just to give you a sense for it. there's another big chunk of that with capital coming into service kind of over the next 2 years, right? That's always our baseline, capital kind of coming into service. We could have up to a half a dozen rate cases kind of in flight during this plan. So that's probably the biggest driver of the range and what has to be true over the course of the next kind of couple of years. And then the smaller kind of bucket, but things that we've had real kind of demonstrable experience and results from asset availability, commercial and technology. Those -- it's a small but kind of growing kind of influence on the growth. And you heard both Tina and Greg kind of mentioned we've got active robotics. We've got AI, we've got preventative maintenance that are all showing early signs of kind of cash flow productivity and contribution. So those are really the three big buckets, but happy to take that offline in more detail.
Benjamin Pham: Okay. That's great. And maybe the other maintenance question that I had is on the dividend growth side, are you still expecting the ranges you've highlighted in the past on dividend growth?
Sean O'Donnell: Yes. So just to be clear for all the listeners, our 3% to 5% range is consistent. We are just given the returns that we're seeing in our new projects, right, well above our cost of capital, we are going to direct as much capital as we can into new projects, which implies we will keep the dividend growth at the low end of that range for the foreseeable future because the projects just warrant as much growth at 12.5% or better. That's the highest and best use of capital we see across the entire system.
Operator: Ladies and gentlemen, this concludes the question-and-answer session. If there are any further questions, please contact Investor Relations at TC Energy. I will now turn the call over to Gavin Wylie for any closing remarks.
Gavin Wylie: I just wanted to say once again, thank you for attending the call this morning and for the great questions. As the operator stated, if we didn't get to your question or if there was anything that was outstanding, please feel free to contact us in the Investor Relations team. We're always happy to help. And of course, we look forward to providing you our next update likely in mid-February. Thank you.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.